Operator: Good day, and welcome to the Lands’ End Fourth Quarter Earnings Conference Call. [Operator Instructions] Please note, today’s call will be recorded, and I’ll be standing by if you should need any assistance. It is now my pleasure to turn the conference over to Bernie McCracken, Lands' End’s Chief Financial Officer. Please go ahead.
Bernie McCracken: Good morning and thank you for joining the Lands’ End earnings call for a discussion of our fourth quarter and fiscal 2023 results, which we released this morning, and can be found on our website, landsend.com. I’m Bernie McCracken, Lands’ End’s Chief Financial Officer, and I’m pleased to join you today with Andrew McLean, our Chief Executive Officer. After the prepared remarks, we will conduct a question-and-answer session. Please also note that the information we are about to discuss includes forward-looking statements. Such statements involve risks and uncertainties. The company’s actual results could differ materially from those discussed on this call. Factors that could contribute to such differences include, but are not limited, to those items noted and included in the company’s SEC filings, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking information that is provided by the company on this call represents the company’s outlook as of today, and we do not undertake any obligation to update forward-looking statements made by us. Subsequent events and developments may cause the positive company’s outlook to change. During this call, we’ll be referring to non-GAAP measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures can be found in our earnings release issued earlier today, a copy of which is posted in the Investor Relations section of our website at landsend.com. With that, I will turn the call over to Andrew.
Andrew McLean: Thanks, Bernie. Good morning and thank you for joining us today. Our results for the fourth quarter and full year 2023 reflect the continued execution of Lands’ End's value creation strategy. We delivered strong performance in the fourth quarter, including throughout the holiday season, closing out a fiscal year where we generated positive momentum across the organization and drove increased profitability. Our deliberate efforts to generate more profitable sales continued to deliver in Q4 and resulted in a 14% increase in gross profit dollars, adjusted EBITDA of approximately $32 million, which was above the high end of our guidance range, and gross margin expansion of approximately 550 basis points. Q4 marked our fourth consecutive quarter of significant inventory improvement, with inventory down 29% year-over-year in the quarter. We were able to be nimble and disciplined throughout the holiday season, prioritizing newness during what is a highly promotional period for our industry. Looking ahead, we remain focused on further improving our inventory turn from the speed and efficiency initiatives we are implementing across our supply chain. As a solutions-oriented business, we're deepening our focus on building the brand to best align our assortment with customer shopping behaviors. We're bringing our two key customer cohorts, resolvers and evolvers, the items they love and are looking for, while introducing freshness across our assortment more frequently throughout the year via new styles, colors, and fabrics. We're doing so with more full price selling, lower levels of clearance sales, and less promotional activity. Our authority in outerwear solutions was a key driver of our strong margin performance in the fourth quarter, both in the US and internationally. As discussed last quarter, we reduced our investment in heavy outerwear and moved towards lighter fabrics and materials. Our Wanderweight offering of middleweight packable jackets performed exceptionally well. As a transitional outerwear solution ideal for layering, we are weatherproofing our assortment and using this offering to extend the outerwear buying season. Across our digital channels, we're creating more compelling and more personal customer journeys, which is driving increased traffic and engagement from new and existing customers, with social media working particularly well. As we've said before, we're taking a more outfit-centric approach to our assortment that features significantly more productive inventory and facilitates demand across natural adjacencies. Our success in outerwear helped facilitate sales of layering products, effectively supporting the new seasonal launches of our women's tops and bottoms businesses. Sweaters had a wonderful season, with the customer migrating to new silhouettes, like our quarter-zip drifter sweater, hitting a trend that was easy for all our customer cohorts to lean in on, and tying back to our Supima luxury tee program, another of our brand USPs, or unique selling points. Launches of new age and size-appropriate jeans and chinos incorporating solutions for heat and comfort, have been additional strengths for us, with our boyfriend jeans bringing an unrivaled level of comfort and fit, while our striped chino pant sold through in days, which helped to deliver a message to our customer. Don't wait for the discounts or you'll miss out. Our performance across our swim and vacation solutions was also encouraging. We continue to introduce newness across our swim categories, including new colors and textures, which customers responded well to throughout the full year. It is notable in swim that we are building on the successes of our franchise products, tugless. For 40 years, our go-to swimsuit expanded its footprint this year, adding new products, including a cross-back strap and a texture fabrication. This innovation, leveraging existing brand franchises, is part of our plan to maintain our authority as a leading swim brand in America. Before I turn to performance in our various businesses, beginning in Q1, we expect to change the way we talk about our performance to be more consistent with the evolution of our brand. B2C comprises our North American and international businesses, serving consumers across a number of channels, while B2B comprises our school uniform and business uniforms verticals. More to come on this next quarter. Our US e-commerce business, our largest B2C channel, delivered a third consecutive quarter of great margin performance, with an increase in gross margin of approximately 520 basis points year-over-year due to our more targeted approach to promotions, driving higher quality sales, and improved inventory management. As we've discussed before, we continue to maximize key events and holidays to drive demand. Following record performance through the Black Friday to Cyber Monday period, we leveraged our data throughout the holiday season to adapt our assortment in real time based on how our customers were responding. This aligns with our broader strategy of putting inventory to work by taking a more outfit-centric approach that exploits category selling across natural adjacencies. Moving to our third-party business, we found continued success in our balanced approach towards working with a handful of like-minded partners that share our vision for customer-focused solutions that resulted in a low single-digit improvement in revenues, coupled with gross profit dollars increasing by over 50%. Our new exclusive swim product in 200 Target doors is performing well, and our focus on assortments tiered to the individual marketplace, delighted our customer and created both the engagement and journey between channels that we believe amplifies the opportunity. As our product and own channels evolve, we are seeing the behavior and positioning improve within our marketplaces, speaking to the value we place on managing personalized customer journeys. We continue to execute on our licensing strategy, which adds asset-light recurring income streams, while allowing us to continue to focus on our core capabilities. As we said on our last call, we expect to begin seeing royalties in 2024 from our recent licensing agreements for club stores, primarily Costco, kids categories, and footwear. Moving forward, we have a belief that expansion into existing and white space product, channel, and geographic licenses, can increase the reach of our brand, finding the customer when they want to shop, where they want to shop, and amplify performance across the entire brand footprint. Turning to our international business, we are pleased with how our performance in Europe is trending, and firmly believe that the business has stabilized. Like in the US, we continue to prioritize assortment units and better inventory management with a focus on protecting margin through lower levels of promotional activity. While revenue was down 6% year-over-year in Europe, the business increased gross profit dollars by 24% and expanded gross margin by over 1,000 basis points year-over-year. We were also pleased to see early success in our efforts in Europe to unlock speed and innovation to deliver our customers the best product, quality, and service. We're leveraging new global sourcing capabilities, including with partners like Li & Fung, to more quickly respond to customer needs and supplement our assortment with market goods, including festive styles like satin skirts that were in demand during the holiday season, while testing new outerwear silhouettes like our long (joley) vest. Turning to our B2B outfitters business, we saw nice performance during the quarter as our effort to deepen the new customer funnel began to bear fruit, resulting in the launch of new partnerships and continued progress in our school uniform business. We're seeing an encouraging trend upward for the business. Our customer service and can-do attitude, coupled with our highly recognizable brand DNA, set us apart in this space. Over the last year, we deepened relationships with new and prospective customers. We accomplished this through restructured sales and service organizations that placed decision-making closer to the customer and supported it with rigorous feedback processes to ensure their voice was heard and acted upon. Ultimately, we took it upon ourselves to make 2023 about crisp on-point execution, receiving by way of example, an A+ grade on our school uniforms business from decision-makers across the country. We will continue this focus into 2024 as an underlying business USP. Simultaneously, our restructured high-performance sales and business development teams are building a robust pipeline of opportunities, implementing initiatives to support leadership in service and technology, and providing future upside to the business. Internally, we are pleased with the book of recurring business being generated, both in time and in volume. To summarize the quarter and year, we made tremendous progress on our strategy and put Lands’ End in a great position to build on our successes in the years ahead. I'm confident that by continuing to extend our leadership as the solutions provider of choice, we'll be able to drive enhanced value for our customers, employees, shareholders, and other stakeholders over the long term. Bernie will now discuss our fourth quarter performance as well as our 2024 outlook.
Bernie McCracken: Thank you, Andrew. For the fourth quarter, total revenue came in at the high end of our guidance range at $515 million, a decrease of 3% compared to last year or approximately flat when adjusting for the 2022 closure of our Japan e-commerce business, and the conclusion of our work with Delta in early 2023. Gross profit dollars increased by 14%, and gross margin improved by 550 basis points compared to a year ago. This efficiency drove a 31% increase in adjusted EBITDA and a 160-basis point improvement in adjusted EBITDA margin versus 2022, and above the high end of our guidance. Global e-commerce revenue was $405 million in the fourth quarter, a decrease of 2% compared to last year and approximately flat when adjusted for the Japan e-commerce closure, which generated $7 million in 2022. Compared to the fourth quarter of fiscal 2022, US e-commerce was flat and Europe e-commerce decreased 6%. Outfitters revenue for the fourth quarter was $54 million, a decrease of 11% compared to last year. Excluding the $5 million difference in year-over-year revenue from Delta, the Outfitters business was down 3% in the quarter. Revenue for our third-party business increased 3% in the fourth quarter. Driven by the relatively strong performance across our online marketplaces, we also increased gross profit dollars by over 50% and gross margin by over 1,300 basis points as a result of our tailored marketplace assortment strategies. Gross margin in the fourth quarter was 38%, an approximately 550-basis point improvement from the fourth quarter of 2022. The margin improvement was driven by the new products across the assortment, strength in transitional outerwear and adjacent product categories, reduction in sales of clearance inventory, and improvement in supply chain costs. We delivered adjusted EBITDA of $32 million in the fourth quarter, up 31% year-over-year, which was slightly above the high end of our guidance range. Our net loss for the quarter was $9 million or $0.27 per share. Our adjusted net income for the quarter was $8 million or $0.25 per share. Turning to our balance sheet, in December, we successfully completed a refinancing of our existing term loan well ahead of its maturity in September 2025, and entered into a new term loan of $260 million that matures in December 2028. The completion of this refinancing initiative was an important step in Lands’ Ends trajectory, and provides us with more favorable terms under which we can continue to invest in the strategic growth and evolution of the company. Inventories at the end of the fourth quarter were $302 million compared to $426 million a year ago, representing a 29% in improvement during the quarter. As Andrew said earlier, Q4 marked our fourth consecutive quarter of inventory improvement, and we averaged a 25% reduction every quarter of our 2023 fiscal year. This was a result of the actions the company has taken to improve inventory efficiency by reducing purchases and capitalizing on speed-to-market initiatives. Now let me touch on a few performance highlights for the 2023 fiscal year. Gross margin for the year increased approximately 430 basis points to 43% compared to 38% in fiscal 2022, driven by significant expansion primarily in the back half of the year. Adjusted EBITDA for fiscal year 2023 was $84 million, slightly above the high end of our guidance, compared to $71 million in fiscal 2022. These results reflect our continued efforts to prioritize higher quality sales and balance sheet efficiency, which has continued to expand our profit margins across our business units. To demonstrate the power of our new approach versus focusing primarily on revenue, we brought in an additional $0.17 of profit for every dollar of lower revenue versus last year. We're confident that as we return to revenue growth, we'll be able to build on our success by continuing to prioritize and drive quality profitable sales. For the fiscal year, we had a net loss of $131 million or $4.09 per share. We had an adjusted net loss of $5 million or $0.15 per share, which excludes the $107 million impairment of goodwill in the third quarter due to the decline of our stock price and resulting market capitalization, as well as other significant items. In the fourth quarter, SG&A was 34% of net revenue, an increase of 510 basis points compared to the fourth quarter of 2022. For the full year, SG&A increased $23 million to $550 million or 37% of net revenue compared to $527 million or 34% of net revenue in fiscal 2022. The 350-basis point increase was driven by deleverage from lower revenues and higher incentive-based personnel costs. After a comprehensive review of our organizational structure, we executed a high single-digit percent reduction in corporate headcount in January. We determined that creating a flatter, more agile organization, would set us up to continue to profitably grow over the long term, while generating additional cost savings that can be reinvested in the business. This reduction, combined with earlier changes in our sourcing organization, constitute a total reduction of approximately 10% of our corporate headcount. These organizational changes reflect the new narrative of our teams around how we think about the skills, strategies, and requirements to grow our business in the future. During fiscal 2023, we returned $12 million of cash to shareholders in the form of approximately 1.5 million shares repurchased, including $2 million in the fourth quarter. Under the board's previous authorization, we repurchased 2.3 million shares for an aggregate $20 million. As announced earlier this month, the board of directors has authorized a new $25 million share repurchase program set to run through March 2026. Now, moving to guidance, we are continuing to prioritize high-quality sales and improved cash flows, which we expect to drive continued gross profit and margin expansion during the spring, summer selling season. As a reminder, Q1 2023 included the conclusion of the Delta contract, which positively impacted our revenue by over $25 million and approximately $12 million in adjusted EBITDA. In the first quarter, we expect net revenue to be between $255 million and $285 million, with gross merchandise value, or GMV, expected to be low to middle single-digit growth. We believe GMV, which accounts for all merchandise sold to customers through B2C and B2B channels, as well as the retail value of the merchandise sold through third-party channels, is an important indicator of the performance of the comparable growth of our businesses. We expect an adjusted net loss of $9.5 million to $7.5 million, and adjusted diluted loss per share to be between $0.30 and $0.24. We expect adjusted EBITDA to be in the range of $9 million to $11 million. For the full year, we expect net revenue of $1.33 billion to $1.45 billion, while GMV is expected to be low to middle single-digit growth. we expect adjusted net income of $3 million to $12 million, and adjusted diluted earnings per share of $0.10 to $0.38. We expect adjusted EBITDA to be in the range of $84 million to $96 million. Our guidance for the full year incorporates approximately $30 million in capital expenditures. As we have discussed, we expect our improved inventory management to enable us to maintain inventory at normalized levels and bolster our work to further expand gross margin moving forward. With that, I will turn the call back over to Andrew.
Andrew McLean: Thanks, Bernie. Our fourth quarter results demonstrate the continued success of our strategy and our performance throughout 2023, which has been characterized by steady improvements in our operating and financial position, paving the way for sustainable profitable growth. Before we open the floor to questions, I'd like to touch on innovation. Lands’ End has always been at the forefront of innovation. We delivered the first 1-800 number service, and we were one of the first internet retailers. This specifically is a touchstone we are returning to in 2024. Innovation can come from anywhere in the business, and alongside some of the AI-driven tools that we are applying to our uniforms business, I wanted to highlight our sourcing and product teams who recently applied to patent a new wave shaper, a body sculpting swimsuit technology solution. Through constant customer-first curiosity and the belief that we can amplify our solutions competence, these teams continue to set Lands’ End, an iconic American brand, apart and ready for life's every journey. As we look to 2024 and beyond, I am confident we have the right team and the right strategy to enable our ability to build on our progress, to create value for our stakeholders over the long term. That concludes our prepared remarks. We look forward to your questions.
Operator: [Operator Instructions] Our first question comes from Josh Herrity with Telsey Advisory Group. Please go ahead.
Josh Herrity: Hi, good morning. Just wanted to follow up here on the gross margin performance, continues to be impressive. In the fourth quarter of that 550-basis point improvement, how much do we think about as driven by full price selling and better assortment and response to that assortment, and how much is more external factors, supply chain, freight, et cetera? And then as we think about FY ‘24, what do you see as the gross margin opportunities in the year ahead? And then I guess as perhaps a corollary to that, how should we think about the shaping of the new licensing businesses flowing through the P&L as the year progresses and how that shapes the topline and the margin as well? Thank you.
Bernie McCracken: Morning, Josh. Yes, I think the gross margin from fourth quarter, what you'll find is we talked about in the first half of the year that it was - a lot of our gross margin improvement was driven by supply chain benefits, mostly inbound freight. What you'll find as we move through the year though, we really improved our product, and our discounting came way down. So, when you break down Q4, it is much less about supply chain savings. We did - as we talked all year, we focused on our supply chain and improvements that we can make there. So, we did see some benefit in lower product costs, but predominantly most of that 550-basis point is driven by newness in our product and selling more full price products and just lower discounting when we did promote. As far as looking forward, all of the work that we have done on creating a more efficient supply chain, that benefit, because it is usually a year out, starts to really drive a difference in 2024. So, you will see lower product costs driven by those efficiencies to support the business going forward, along with a lot more newness and hopefully as we can, driving more full product - full price sales for our product. As far as the licensing goes, as you can see in our guidance, our revenues are down. That is driven by licensing our kids and shoes businesses, which is why we've now started to provide gross merchandise value as a KPI, so that we can show that the overall brand is growing. And as we guided, its low single digits to mid-single digits. And as we've tried to keep pounding on, we are driving higher gross profit dollars, and that's what we expect to see every quarter this year is to drive higher gross profit dollars. Of course, Q1, we are up against the challenge of Delta and the completion of that contract. So, excluding Delta, we will drive higher gross profit dollars in Q1 and for the rest of the year.
Josh Herrity: That's helpful. Thank you. Good luck.
Operator: Thank you. Our next question will come from Eric Beder with Small Cap Consumer Research. Please go ahead.
Eric Beder: Good morning. Can we talk a little bit about the marketplaces? A, is there potential to add other marketplaces to the business? And B, how are you seeing the returns as you start to segment? You previously talked about how you can now shift product between the different marketplaces. What are the opportunities there in terms of margin?
Andrew McLean: Yes, morning, Eric, it's Andrew. It's a great question. With the marketplaces, it’s worth remembering, and do note this on every call, as does Bernie, we have a single inventory for the marketplaces and our dot com site, and we're able to switch between channels and fulfill from that single inventory. So, there's a lot of efficiency that's baked into it. We're not shipping to someone else's distribution center and having the inventory there be contingent. So, with the marketplaces, we see opportunity, and we talked about - I talked specifically about like-minded partners on the call. We're in process of adding a couple of elevated partners. There's one we're hoping to talk about in the next few months, and I think at the same time, it's about continuing to work with the partners we've got. We particularly look at Macy's and Target and opportunities to grow our business there, and I think it's horses for courses. I don't know if that's an American expression, but it's the notion of we want to get optimized on the assortment for each of those. So, there's a slightly different price point. There's a slightly different customer relationship, and there's a different customer journey that happens on each of those marketplaces. So, we tend to look at them in isolation. And it's not just price point-related, it's product related, and that's something that we continue to fine-tune. We have some fairly sophisticated tools we're able to apply against that. In terms of the returns rate question, we had had higher returns with one of our partners in the past. We've worked through that and overall, we've been lowering the returns as a consequence of how we put that merchandise mix out there. Is it where we want it to be? Returns are never where we want them to be in the business. I don't think that any retailer can say that, but we've certainly worked our way through it and we continue to look at it. I think if you want to walk away from this, it's just like we continue to see marketplaces as an important journey, as something that we'll continue to build and use to elevate our brand and expand our brand journeys or our customer journeys.
Bernie McCracken: And Eric, the only thing I'd add to that is, from a true performance, all of our marketplaces raised their gross margin rates over the last year and generated a nice total gross margin input for the whole company.
Eric Beder: Actually, a little bit of a related question. So, you talked about controlling the inventory and having it in your warehouse to ship it. How does licensing flow through that? How do you control the licensing product and how they show themselves and how the product goes through as you expand the categories and other pieces here?
Andrew McLean: With the - again, great question. With licensing, you have to control your brand. I mean, it's really important that you find like-minded partners. I think that with a lot of years of licensing experience behind me, if you go out and find a partner who necessarily offers the best rates, you don't necessarily get the best for your brand and it's not great in the long term. So, you have to find someone who is like-minded. The first year of an arrangement tends to be about 18 months long, and you use the first six months to really build the brand book and get a meshing of the DNA fully baked between your brand and the partner, and then ultimately you write in control over that. So, we have control over the assortments with rights of approval. And then increasingly specifically for categories like swim, it's our product, we design it, and it's a tech pack that the partner will then produce to our standards. So, a lot of control goes into that because you're building something for the long term. That's how I look at it. It's how we look at it as a business, and it tends to run maybe a little slower on startup, hence that 18-month first year, but really it's the right way to do it, and it builds something long lasting and enduring.
Bernie McCracken: And from a more technical or execution side, the interesting thing for the licenses that we’ll provide, especially the kids and the shoes licenses, there'll be two aspects to that license. Our partners are going to sell on our website also and they will put that product in our warehouses to be sold to our customers in the same bags and boxes that they receive other Lands’ End product, but then those partners will also be going out to third parties and performing wholesale sales that we will then make a royalty on.
Eric Beder: Right. Last question. Inventories, you've done an incredible job producing the amount of inventories. How should we be thinking about, A, what is ideal? And, B, what should be thinking about inventory levels into 2024? Thank you.
Bernie McCracken: Yes, I think the key here is we do have an ideal number and we do want to drive higher terms. And we're looking to turn in a couple of years a full turn faster than we do today, but this really comes from our ability to improve our supply chain so that we can shorten the length of time that it takes for us to receive products, so that we can make later decisions and have more newness in our assortment and carry less inventory and be able to be faster in replenishment. So, that will take some time yet, but we are definitely going to continue to reduce inventories and drive more newness and turn in our business over the next year.
Andrew McLean: Yes, I don't know if you caught it in the call, Eric, but if I would draw your attention back to it. We're using - we use our European business a lot to test concepts out, they've been incredibly open-minded to this. One of the concepts we tested out last year was really how much speed can we put into the mix? And the area we looked at was market goods. Again, from my background, I have experience in buying market goods. And by buying market goods, you don't necessarily own the IP of the product. You can put your own label in it, but you might find it somewhere else. But what it allows you to do is go out and test, or it allows you to fill holes in your assortment. And as an underlying piece of that, you start to leave open to buy open that you can fill later in the season, and that gives you speed that almost can be guaranteed in terms of the gross margin that it delivers. (Audio difficulty) where you want to take the business in future years, and that's something we're going to lean in and do more of. We're starting to do that in our US business, and that will be an incredibly powerful element that we bring to bear in terms of what we bring to market and when we bring to market meshing against the journey that our customer is on and their expectation at that moment.
Eric Beder: Okay. Congrats and good luck for 2024.
Operator: Thank you. Our next question will come from Alex Fuhrman with Craig-Hallum Capital Group.
Alex Fuhrman: Great. Thanks, guys, for taking my question and congratulations on everything you guys have accomplished in 2023 and so far this year. I was wondering if I could ask a little bit about the licensing business as well. Just thinking about your outlook for the full year of a low to mid-single digit increase in GMV, is that more or less consistent with what you're expecting to see in footwear and kids, or should those categories perhaps accelerate more over time in future years as your licensees start to explore other channels for those categories?
Andrew McLean: Hey, Alex, how's it going?
Alex Fuhrman: Excellent. Thanks, Andrew.
Andrew McLean: We're going to accelerate that, Alex. We stepped into it - let's review why we stepped into licenses. I mean, one, it is obviously asset-light and there's a - it's a great driver of return on investor capital. We're a $1.5 billion company, and we are an iconic American brand that covers family variety in retail. We can't be as good as we want to be in everything at $1.5 billion. By doing licensing, this allows us to concentrate our efforts on our best at, and the solutions business that we see out there that we really wanted to lean into was swim and outerwear and women's and men's. And in doing that, we were able to accelerate those. We took the pressure off ourselves with kids and shoes by going to a partner who is experienced in those and has the bandwidth to really build them the way we want to build them and we've always envisioned. I'm not going to get that word out, but we see tremendous growth opportunity, and that's the whole part that underpins this, which is, we’re starting relatively conservatively this year, but we see room to expand those licenses, because they won't just be on our website. They'll be in points of distribution throughout wholesale. And I think that also has an added advantage of creating a physical manifestation of our brand that then creates a circularity between the wholesale channel, the licensee, and driving customers on their journey back to our website. So, a lot of opportunity in there.
Alex Fuhrman: Great. That's really helpful. Thanks, Andrew. And then can you talk a little bit about what your license business might look like in the club channel? Imagine that would be across other categories beyond just footwear and children.
Andrew McLean: Yes, I mean, we're in the club channel with everything. And I think that just sounds like there's going to be a lot in the club channel. We're really controlling that very tightly. And you know the clubs. It's like, it tends to be, they get behind a few items and they get behind them really heavily, and that's a great place to be. And actually, I want to talk about the customer here. The customer you reach in the cloud channels is very much a customer we're interested in getting at. It's our - very much our traditional resolver, but we see the evolver customer who tends to skew a bit younger as well, and that has us reaching an older millennial and a Gen X customer who tend to be very much in there and upwardly mobile. So, by having a narrow but deep assortment that continually changes with the clubs that we control, we think we can reach new customers and really drive the business in a way that accelerates all our channels.
Alex Fuhrman: Great. That's really helpful. Thank you very much.
Operator: This will conclude today's Lands’ End fourth quarter earnings conference call. We thank you for your participation. You may disconnect your line at this time, and have a wonderful day.